Operator: Welcome to today's teleconference. (Operator Instructions) It's now my pleasure to turn the program over to Kevin Stead.
Kevin Stead: Good morning. Before Ken Lewis and Joe Price begin their comments, let me remind you that this presentation does contain some forward-looking statements regarding both our financial condition and financial results and that these statements involve certain risks that may cause actual results in the future to be different from our current expectations. These factors include among other things, changes in economic conditions, changes in interest rates, competitive pressures within the financial services industry, and legislative or regulatory requirements that may affect our businesses and for additional factors, please see our press release and SEC documents. And with that, let me turn it over to Ken Lewis.
Kenneth Lewis: Good morning, and thanks for joining our earnings review. The past several quarters have been quite tumultuous given the economic headwinds. For the first time in awhile, we feel less constrained by economic events and more capable of demonstrating progress and momentum. Driving this attitude were several accomplishments this quarter in areas of balance sheet strength, solid core operating performance and on-going integration and positioning of our businesses. During the quarter, we increased our tier one common equity by more than $34 billion and the total results of our capital actions, approximately $40 billion exceeded the capital buffer required by the Supervisory Capital Assessment Program by approximately 17%, all while again, substantially adding to our credit reserves. In addition, there were several discernable positive trends in many of our businesses including robust activity in mortgage lending, investment banking and capital markets along with stronger deposit growth. Much like our first quarter results, we were able to generate earnings in the second quarter from various businesses and investments to offset the significant impact from abnormally high credit costs and the negative accounting impact from the improvement in our credit spreads. On the credit spread point I won't go into my opinion here on the counter-intuitive accounting of certain liabilities, but suffice to say I'm pleased with both the improvements in the markets and the progress we've made that enabled us to benefit from this increased market confidence, and I would rather see the operating improvements and take the accounting loss that comes with our company's success. For the second quarter of 2009, Bank of America earning $3.2 billion before preferred dividends, or $0.33 per diluted share after deducting preferred dividends of approximately $800 million. Total revenue on an FTE basis was in excess of $33 billion while pre-tax pre-provision income was approximately $16 billion. Positive drivers in the quarter include a particularly favorable capital markets environment which produced a 56% increase in investment banking revenue versus the first quarter and trading results that exceeded strong first quarter results. Mortgage banking income remained elevated due to high levels of home loan production. Benefits were recognized from the partial sale of our investment China Construction Bank and again from the sale of our Merchant processing business to a joint venture with First Data Corporation. Momentum continued in new deposit generation and we focused on prudent balance sheet management which included lower risk rated assets and significantly higher levels of tier one common equity which enabled us to end the quarter with a tier one ratio of 11.9%, a tier one common ratio of 6.9% and a tangible common equity ratio of 4.7%, up 154 basis points from March. These benefits to common equity also pushed our tangible book value percent up 7% to $11.66. The earnings impact of these positives were offset by a continued high level of provision expense, an expense related to the FDIC special assessment for deposit insurance, the negative impact from improvement in our credit spreads and lower consumer and commercial customer activity across many of our businesses. As we experienced in the first quarter, Merrill Lynch and Countrywide continue to provide a significant contribution to revenue, and more important, both businesses position Bank of America very well to benefit as the global economy stabilizes and begins to grow. Total credit in the second quarter was $211 billion including commercial renewals versus $183 billion in the first quarter. The larger components are $111 billion in first mortgages, $78 billion in commercial and $9 billion in commercial real estate. The remaining $13 billion includes consumer retail loans and small business loans. Provision expense in the second quarter was in line with the first quarter and includes $4.7 billion reserve increase versus $6.4 billion in the first quarter. Average retail deposit levels for the quarter, excluding Countrywide, were up $`10.5 billion or 1.7% from the first quarter, which we believe is above industry growth. Deposit levels at Countrywide continue to drop as anticipated driven by the alignment of pricing strategies. I would note that almost all our growth was associated with transaction counts versus CD or savings accounts. Before I turn it over to Joe, let me make a couple of comments about our thinking given the current environment. The additions of Countrywide and Merrill Lynch continue to accretive to earnings to date at these market sensitive businesses offer diversification to offset the core credit headwinds we're facing. For the rest of the year, the build up in late stage delinquencies and continued economic pressures will cause charge offs to continue to trend upward, although not at the pace we've experienced recently. Our largest jump in early stage delinquency late last year, essentially hit the 180 day charge off period this quarter, and we haven't seen such early stage jumps since then, as Joe will discuss. At this point I would say consumer charge offs may be close to peaking in dollar terms around year end, although we believe it will stay elevated post the peak. Consequently, reserve increases will most likely continue for the remainder of 2009, although not at the levels we experienced in the first six months of the year. We continue to position the balance sheet to ride out the recession which you can see in our de-leveraging actions this quarter, adding long term debt and capital, shrinking certain asset positions and substantially adding to reserve levels. Having said that, we're actually seeing a lot of business activity as demonstrated by the credit originations I referenced a minute ago. Our outlook for the economy is close to the consensus view with unemployment peaking somewhere around 10%. We anticipate bankruptcy filings for individuals even after reaching pre-reform levels to continue to increase and we believe home price declines, while slowing, still have further to fall. These are the assumptions we use the run the company. Based on this scenario, profitability in the second half of the year will be much tougher than the first half given the absence of several one time items that were positive to earnings. I think we have to get through the next couple of quarters and into 2010 before it becomes apparent that the market strength of our various businesses will help us return to more normalized earnings. We're still wrestling with the definition of normalized earnings given the future impact on the banking industry, the proposed changes in regulatory oversight, accounting changes and the Court Act but we do believe our business model at Bank of America is the best model to benefit from future economic recovery. At this point, let me turn it over to Joe for much more additional color and commentary.
Joe Price: Over the next few minutes I'll cover the large items that Ken mentioned; the performance of each of our businesses, our capital markets exposures, credit quality, manager's income and capital levels. Before getting into the business results, let me highlight the large items that impacted earnings in the second quarter and you can follow this on Slide 6. Shares of China Construction Bank were sold for a pre-tax gain of $5.3 billion which reduced our ownership to approximately 11%. Now any impact from appreciation and the value of the remaining shares over our purchase price is not reflected in our shareholder's equity numbers and won't be until the third quarter of next year when it will be recognized in other comprehensive income. Let me touch on the effective rate here, as it was impacted by the capital gain in the quarter. Essentially, the decrease in the effective tax rate was due to permanent tax preferences and the release of a part of a valuation allowance provided on acquired loss carried forward benefits. We also have a continued shift in the geographic shift of earnings due to Merrill Lynch. Look for the tax rate to be a little more normalized towards statutory in the second half of the year. In late June, we announced the formation of a joint venture with First Data to deliver next generation payment solutions to merchants. Due to our contribution to the joint venture, we recorded a $3.8 billion pre-tax gain. We shouldn't expect a major change in the ongoing earnings impact to Bank of America given the business's relative size. Additional details of the joint venture are on Slide 7. Offsetting these positives, structured notes issued by Merrill Lynch were mark to market under the fair value option, resulting in a pre-tax hit to earnings of $3.6 billion due to the narrowing of Merrill Lynch credit spreads. And if you remember, the revaluation was a positive $2.2 billion in the first quarter. The applicable credit spreads were cut in half during the quarter, which is a good thing, but as Ken said, we feel the impact in earnings. As a reminder, the impact of mark in our cash liabilities does not impact tier one capital. Credit valuation adjustments on derivative liabilities, and these are principally in Tom's trading businesses were re-valued, resulting in a negative impact of $1.6 billion versus a positive impact of $1.7 billion in the first quarter; again, a good thing, but still negative to current period earnings. Higher deposit insurance premiums due to the FDIC's special assessment were accrued this quarter and cost us about $760 million. Finally, I'll touch on reductions in market exposures in a few minutes, but let me give you a quick summary of the market disruption charges this quarter which totaled about $1.3 billion. In leverage lending, we wrote down an additional $107 million. On the CMBS side, we took a charge of approximately $570 million, primarily related to equity investments and exposure in the hotel industry. On our remaining CDO exposure, we recorded a loss made up of super senior CDO write downs and that was about $233 million. Write downs on positions retained from CDO liquidations, and that was about $170 million and continue, and hopefully the final clean up of various other CDO positions where we reassigned responsibility from liquidation for an overall total of about $813 million. These were offset by some net recoveries on other legacy positions. Let me quickly touch upon some highlights for each of the businesses this quarter. As we explained last quarter, impacting some of the segments is lower residual interest income which is the revenue allocated to the business segment as a result of our asset and liability management and other corporate strategy. Corporate decisions such as de-levering the balance sheet that Ken mentioned or changing interest rate positions will impact a level of residual interest income allocated to the business segments. On our deposit segment on Slide 8, earnings were $505 million in the quarter, down from $601 million in the first quarter. Second quarter was impacted by lower interest income allocation as well as a major portion of the FDIC's special assessment. Absent these items, deposits pre-tax earnings for the quarter increased $597 million from first quarter, reflecting steady revenue growth and disciplined expense management. Core net interest income increased $223 million driven balance growth of $39.5 billion and a slight improvement in deposit spreads. This quarter reflected the migration of customers from Global Wealth Management to our deposit segment where they can be serviced more efficiently. The migration contributed $32 billion of linked quarter balance growth. Outside of the balance transfers, average balances grew $13 billion organically, not including the $6 billion of planned run off in the Countrywide portfolio that Ken referenced a minute ago. The non-interest income of $1.7 billion grew 16% from the first quarter, the result of seasonality, account growth and revenue initiatives. Global card services on Slide 10, a loss of $1.6 billion was recorded, and once again was impacted by high credit costs, although down $700 million from the first quarter. Average managed consumer credit card outstandings were down 3% from the first quarter to $172.6 billion. The second quarter retail purchase volume and this would be both debit and credit increased 8% from the first quarter, due to seasonality, although down 10% from a year ago. Even though the economy has contracted, we continue to add new accounts; 611,000 new domestic retail and small business credit card accounts in the quarter with credit lines of approximately $4.2 billion. Home loans and insurance, and you see this on Slide 11, continues to benefit from the low interest rates. Total revenue for the quarter was $4.5 billion, down 15% from first quarter levels as continued high production revenue was more than offset by lower MSR hedge results. Mortgage servicing hedging was more normal this quarter as the write up in the act that was offset by hedge losses, leaving a benefit of roughly $138 million on a net basis, versus $1.3 billion in the first quarter. The capitalization rate for the MSR asset ended the quarter at 109 basis points. Provisioning, although down from first quarter levels, remains high, pushing earnings once again in the negative territory. Total first mortgage fundings at $111 billion were up 11% over first quarter and approximately 29% of the fundings were for home purchases, and although benefiting some from seasonality, was a very positive sign for the housing market. We maintained strong market share during the quarter. Although we've seen volatility in the rate environment that started to cause the refi volumes to trail off in late June and early July, we have observed volumes picking up with the recent decline in 10 year Treasuries which said the refi market still has some legs going into the second half of the year. Keep in mind that all of this has occurred as [Bart and his source team] in Calabasas is managing through the mortgage industries largest ever consolidation, significant efforts to help customers stay in their homes and a sizeable refi boom. The global wealth and investment management, and you can see this on Slide 12, earned $441 million in the second quarter, down from first quarter levels. This business was also impacted by our overall balance sheet strategies as net interest income absorbed over $288 million in lower allocated revenue. Assets under management ended the quarter at $705 billion, up $8 billion from the end of March as the improvement in market valuations more than offset outflows from the money market funds. Non interest income increased from the first quarter driven by lower support to certain cash funds and higher brokerage activity. Turnover among our financial advisors has slowed and we ended the quarter with approximately 15,000. We plan to add to our sales force and are ramping up our training program, which was put on hold during the first six month and integration. Global banking, and you can see this on Slide 13 which encompasses our commercial bank, corporate bank, and the investment bank, earned $2.5 billion in the quarter versus $172 million in the first quarter, primarily due to the gain from the sale of our merchant processing business as part of our joint venture. Loan spreads continue to widen as facilities were re-priced at higher market rates, and although the commercial and corporate clients are being cautious given the economy and balances are down, we continue to see improved credit spreads as market prices reflect underlying risks. Provisioning expense increased 40% to $2.6 billion and reflected a reserve increase of $1.1 billion. Average loans recorded for the quarter were down 2% from the first quarter as clients continue to reduce inventories and capital expenditures while aggressively managing working capital levels. However, average deposit levels increased $4 billion or almost 2% from the first quarter levels. Investment banking fees, and this would be across the whole corporation, were $1.65 billion and that's detailed on Slide 14. It was up 56% versus the first quarter. High yield, loan syndication and equity capital markets experienced significant growth with syndication fees during the quarter hitting record levels. Advisory revenues dropped by 11% on the back of a substantial drop in global M&A activities and fee pools. The combined Bank of America/Merrill Lynch franchise ranked number one in high yield debt, leveraged loans and MBS, number two in ABS yield volume and ranked number three in global and number two in U.S. investment banking fees in the first half of 2009. Turning to global markets on Slide 15, they earned $1.4 billion in the second quarter versus $2.4 billion in the first quarter. The trading environment in the second quarter continued to benefit from the improving credit market and core revenue increased after normalizing for credit valuation adjustments on derivative liabilities and market disruption charges. Our credit businesses, and think of this as high grade, high yield public finance and distress, had a great quarter which more than offset a seasonal decline in commodities and reduced opportunities in rates and currencies due to lower volatility. Risk weighted assets declined nearly 12%, reflecting more efficient use of balance sheet and market value changes. And as you see on Slide 16, sales and trading revenue in the second quarter was $3.9 billion versus $6.3 billion in the first quarter. As I mentioned earlier, results this quarter included charges on legacy positions of $1.3 billion and credit valuation adjustments on derivative liabilities of $1.6 billion. Legacy charges in the first quarter were negative $1.7 billion while credit valuation adjustments on derivative liabilities in the first quarter were a positive $1.7 billion. Excluding the corresponding impact of legacy adjustments and credit valuation adjustments, our sales and trading revenue this quarter was up approximately $422 million to more than $6.7 billion driven mainly by fixed income. Driving this improvement was strong performance in credit trading due to strong client flows in a market where liquidity rebounded. We detail on Slide 17 and 18 a number of the most pertinent legacy exposures in the capital markets businesses. The largest reduction in exposure this quarter were centered in credit default loss with financial guarantors where we saw $11 billion of notes come off which represents a reduction of about 20%. Additionally, the leverage loan exposure is down to $3 billion on a carry basis, a reduction of $1.4 billion in the second quarter, with the remaining exposure made up of senior secured bank debt versus bridge or junior debt traunches. The one area that still needs additional liquidity is CNBS. There has been a small amount of activity and I guess what you'd call re-evidencing some signs of life and spreads have come in, but the activity remains small and modest. While discussions are becoming more robust, no meaningful origination or distribution of positions has occurred. Not included in the six business segments is equity investment income of $6 billion in the second quarter and that's included on Slide 19. As Ken said earlier, we sold some of our investment in China Construction Bank and booked a pre-tax gain of $5.3 billion. In addition, we had securities gains of approximately $632 million offset by impairment charges on non agency R&BS of $639 million. These positions continue to deteriorate given the weaker underlying cash flows from consumer mortgages. Let me switch to credit quality that starts on Slide 20. As Ken referenced, credit quality deteriorated further during the quarter as the economy continued to weaken. Consumers experienced increased stress from higher unemployment and under employment levels, increased bankruptcies as well as further declines in home prices leading to higher losses in almost all of our consumer portfolios. These factors along with continued pull backs in spending by both consumers and businesses, and weakening commercial real estate also negatively impacted the commercial portfolio. Second quarter provision of $13.4 billion exceeded net charge offs, reflecting the addition of $4.7 billion to the reserve versus $6.4 billion in the first quarter as we strengthened our balance sheet to absorb expected losses going forward. Sustain headwinds from the recession continue to impact our consumer portfolios, resulting in reserve increases for most consumer related products, most notably residential mortgage and home equity, albeit at lower levels than the first quarter. On the commercial side, we added approximately $1.1 billion to the core commercial reserves with a little over half of that in commercial real estate portfolio, reflecting deterioration outside of residential, particularly across retail and office, and the remainder in the commercial portfolio from deterioration which was broad based in terms of borrowers and industries. The reserve additions also included approximately $855 million associated with the reduction and expected principal cash flows mostly related to Countrywide, but also some on the Merrill Lynch impaired portfolios driven mainly by continued deterioration in the economy and the home price outlook. Our allowance for lease losses now stands at $33.8 billion, or 3.6% of our loan and lease portfolio. Our reserve fund commitments now stands at $2 billion, bringing the total reserve to $35.8 billion. We expect continued reserve increases in the second half of 2009, but again, as Ken said, not at the levels experienced so far this year. Obviously the ultimate level of credit losses and reserve increases will be dependent on the severity and duration of the credit cycle. On a held basis, net charge offs in the quarter were increased 79 basis points from first quarter levels to 3.64% of the portfolio, or $48.7 billion. On a managed basis, overall consolidated net losses in the quarter increased 102 basis points to 4.42% of the managed loan portfolio or $11.7 billion. Net losses in the consumer portfolios were 5.45% versus 4.26 in the first quarter. Due to the reduction in balances principally in the unsecured products, the loss rates are somewhat distorted, so I'll talk about it more in dollar terms. Credit card represents 53% of total managed consumer losses. As you can see on Slide 21, managed consumer credit card net losses were $5 billion compared to $3.8 billion in the first quarter. If you remember, the largest jump in early stage delinquencies in our card business was in last 2008, so with 180 day charge off policy, you can see why losses increased this quarter. 30 day plus delinquencies in consumer credit card decreased more than $600 million. While some of what we're seeing in early stage delinquency probably has a seasonality component. We're cautiously optimistic that those trends if sustained could eventually stabilize losses. However, continued economic weakness in the U.S. and Europe and higher levels of bankruptcies would obviously keep pressure on this performance. I should note here that much of our reserve increase this quarter in U.S. card, related to maturing securitizations and the need to provide reserves if that exposure came back on the balance sheet rather than being principally related to further unexpected deterioration. Credit quality in our consumer real estate business continued to deteriorate in the second quarter as shown on Slide 22. Before I get into the individual consumer real estate products, let me speak to a couple of important drivers. NPA's which are highlighted on Slide 27 increased $3.2 billion in the second quarter compared to an increase of $4.6 billion in the first quarter, and now total $19.1 billion. This is primarily comprised on consumer real estate with the lion's share being first mortgages. There are a number of things affecting this portfolio, but as a reminder, we generally move consumer real estate to non performing at 90 days past due and take charge offs at 180 days at which time we write the loans down to appraised value and perform quarterly refreshes, taking additional write downs as needed. We also have troubled debt restructuring or TDR's, which I'll define in a moment that are reflected as NPA's even though they were not 90 days past due when the restructuring or the modification was made. And lastly, as you are aware, the various moratoriums we instituted on foreclosures have had the effect of holding up loans and non performing status versus allowing them to clear into OREO and ultimate sale. While our efforts are to responsibly keep borrowers in their homes and paying as we think that reduces the overall costs, the impact is that the NPA number is deflated. Former moratoriums have now been lifted as the MHA program and other modification efforts are now all up and running. Therefore, once a loan has been evaluated under all our various programs, if no other alternative exists, those loans will be released into foreclosure. Specifically switching to home equity, and this is back on Slide 22, our home equity portfolio continued to be negatively impacted by rising unemployment and centered in higher CLTD loans, particularly in the States that have experienced significant decreases in home prices. Home equity net charge offs increased to $1.8 billion compared to $1.7 billion in the first quarter. As we saw in card, 30 plus performing delinquencies are down $646 million or 39 basis points to 1.29% which is a positive sign. We're attributing part of the trend to early collection efforts and some seasonality until we see it sustained. We continue to see increased utilization rates, and they're up about 140 basis points to 55%, although period and balances are down and net draws on home equity lines were at their lowest compared to the past several quarter. I think they were under $2 billion this quarter. Open lines are $100 billion and are for the most part, the customers with refreshed FICO's greater than 740 scores, and refreshed CLTV's of less than 90%. Non performing assets in home equity and this is principally loans 90 days past due, rose to $3.97 billion, an increase of $300 million, less than half of the increase we saw in the first quarter. As you are aware, we've been working with borrowers to modify their loans to terms that better align with their current ability to pay. When we do that, under most circumstances we identify these as troubled debt restructurings or TDR's which are modifications where economic concession has been granted to the borrower. Some of these modified loans were already in our non performing assets; however, many of them were accelerated into non performing classification upon modification. Non performing home equity TDR's increased $700 million. The acceleration of performing loans into NPA's upon modification was the principal driver of the NPA increase to 75% or $650 million of the home equity non performing TDR's done in the quarter were performing at the time of modification. To give you some additional color on the NPA's, TDR's where we've improved the likelihood of repayment make up 36% of home equity NPA's. In addition, about one third, or $1.4 billion of the NPA's are greater than 180 days past due and have been written down to appraised values. We increased reserves for this portfolio to $8.7 billion or 5.59% of ending balances due to continued elevated levels of delinquencies and size of the unit charge offs which is more reflective of the size of the delinquent loans than an increase in severity, as severities have actually somewhat stabilized. Our residential mortgage portfolio showed an increase in losses to $1.1 billion or 172 basis points. That's 138 basis points net of our refi graph from the $785 million, an increase pretty consistent with what we saw in the first quarter. As we saw in other areas, we've now seen two consecutive quarters of stable, or as was the case this quarter, decline in 30 day delinquencies. On the non performing asset front, we saw an increase of $2.8 billion, about a quarter less than the $3.8 billion saw in the first quarter. Non performing TDR's increased $1.3 billion in the second quarter with about 35% of the increase being from loans that were performing at the time of modification. Of the $14.5 billion residential mortgage NPA's, TDR's make up 14%. About 60%, or $8.8 billion of the NPA's are greater than 180 days past due and have been written down to appraised value. Given the weakness in the economy and continued declines in home prices, we anticipate continued deterioration in this portfolio and therefore, we'd expect some additional reserve increases. Our reserve levels were increased on this portfolio during the quarter and represent 1.67% of period end loan balances. On Slide 23, we provide you with details on our direct and indirect loans which includes the auto and other dealer related portfolios as well as consumer lending. Net charge offs in our auto and other detailer related portfolios actually decreased to $199 million or 1.96% from 2.78% in the first quarter, probably a slight extension of the normal seasonality pattern, but clearly encouraging. We saw the expected increase in consumer lending charge offs that were reserved for over the last several quarters and expect them to somewhat level off in dollar terms due to the improvements in both early and later stage delinquencies. Switching to our consumer portfolios, and you can see this on Slide 28, net charge offs increased in the quarter to $2.1 billion or 237 basis points, up 69 basis points from the first quarter. Net losses in our $18 billion small business portfolio, which are recorded as commercial loan losses, increased $140 million to 16.69%, and are most pronounced in States with severe housing pressure. As we talked about before, many of the issues in small business relate to how we grew the portfolio over the past few years, which is now compounded by the current economic trends. However, we think we're close to a peak in small business losses as indicated by linked quarter declines in 30 plus delinquencies and flat 90 plus delinquencies. Our current allowance for small business stands at about 16% of the portfolio. Excluding small business, commercial net charge offs increased $461 million from the first quarter to $1.3 billion, representing a charge off ratio of 158 basis points. The increase was driven by commercial domestic exposure centered in the financial sector, and to a lesser extent, by commercial real estate. In total, the losses in the quarter were split almost equally between non real estate and real estate. A couple of individual exposures drove most of the non real estate increase and the rest was pretty granular. Within commercial real estate, net losses increased 78 basis points to 3.34%. While commercial real estate losses continue to be centered in home builders, I think it was more than 60% of the second quarter real estate losses. About 26% were related to principally office and retail. Commercial NPA, and this is detailed on Slide 29, rose $2.2 billion, $669 million less than the increase in the first quarter to $11.9 billion. 50% of the increase was due to commercial real estate, but trending more to non residential exposure like office and retail versus home builders which has driven much of the increase over the past few quarters. Let me give you some color behind the makeup of our commercial NPA's. Commercial real estate makes up about 60% of the balance, or about $7 billion with little over half of that being home builders. Outside of commercial real estate, the balance is concentrated in housing related and consumer dependent portfolios within commercial domestic. NPA's are most significant in commercial services and supplies and here think realtors or employment agencies, office supplies or those types of companies at 5% of total commercial NPA's followed by individuals and trusts, capital markets and vehicle dealers at 3% each and no other industry comprises greater than 2%. Just under 90% of our commercial NPA's are collateralized and almost 40% are contractually current. The total commercial NPA's are carried at about 75% of original value before considering our loan loss reserves. Reservable criticized utilized exposure in our commercial book increased to $8.5 billion in the second quarter compared to an increase of $11.7 billion in the first. While the increase was still large and reflective of the continued deterioration in the economy, it slowed and was comprised of about 40% real estate and 60% non real estate. Commercial real estate criticized increased $3.6 billion to $21.2 billion, and while home builders were $7.3 billion still represent the largest concentration. We actually saw a reduction there of $330 million. The largest increased were in retail and office which are our second and third largest criticized concentration with commercial real estate. Outside of commercial real estate, we saw further weakening and again, housing related and consumer dependent businesses. 80% of the assets in commercial reserveable criticized are secured, of which 10% is in our highly secured asset based lending business. Also remember that asset based lending shows a resurgence in a recessionary environment and that many of our asset based lending credits are considered criticized as soon as the loan is made, but charge offs are exceptionally low due to the high margin requirements. While we obviously see some continued deterioration, our past rated credit discussions this quarter have felt much better than they have over the course of the last few quarters. Assuming no change, that should translate into lower flows into criticized. Going forward, we think we'll see some leveling off or decline in home builder charge offs offset by increases in non residential commercial real estate as well as commercial domestic. Overall, while we experienced several large single name losses in the non real estate charge offs this quarter, we expect to see more diverse charge offs over the next several quarters given the economy. As we did with all portfolios, additional reserves were added in the second quarter, bringing our commercial coverage to 2.8% of loans that would be 1.76% excluding small business. Let me say a couple of things about net interest income, and I'm on Slide 31. Compared to first quarter, on a managed and FTE basis, net interest income was down $892 million. Core NII dropped approximately $527 million while market based NII dropped about $365 million in line directionally with our comment made three months ago. The core NII decrease was due mainly to our continue de-levering of the AOM portfolio and lower loan levels which was across the board due to the weaker demand, partially offset by the impact of favorable rate environment and improved pricing. Also impacting our net interest income was the derived asset quality; both non performing as well as interest reversals. This negative impact on core managed NII in the second quarter was $1.1 billion due to non performing assets of approximately $300 million and interest reversals of approximately $800 million. Combined, this impact was approximately $200 million worse than first quarter and most of the interest reversals as you might imagine relate to credit card. The core net interest margin on a managed basis, increased 7 basis points to 3.72% due to improved yield curve. At this point I wouldn't expect a lot of movement in the core net interest margin in the near term, and the negative impact of the discretionary portfolio de-levering was pretty much absorbed this quarter. Prior to the fourth quarter, our risk position had been liability sensitive where we benefited as rates declines and exposed as rates rise. As we discussed last quarter, our risk position has evolved to become more asset sensitive due to a reduction of fixed rate mortgages because of the de-leveraging and the addition of Merrill Lynch. As you can see from the bubble chart on Slide 33, which as you know is based on the forward curve our interest rate risk position hasn't changed much from the first quarter. Given how low rates are, we're comfortable with our current interest rate profile. Let me say a few things about capital, and you see this on Slide 35. The tier one capital ratio at the end of June was 11.93%, up 184 basis points, or $20 billion from the first quarter due mainly to our capital actions in the second quarter. Our tier one capital level is $95 billion in excess of the 6%, well capitalized minimum requirement. Tier one common increased $34 billion to 6.9%, an increase of 241 basis points. I should note here that we have also increased credit reserves $11 billion since year end, the effective date for the stress test. Our tangible common equity ratio increased 154 basis points to 4.67%. During the quarter we raised, and you can see this on Slide 36, almost $13.5 billion in common equity through the direct issuance of 1.25 billion common shares at a price of $10.77 per share and exchanged an additional 1 billion shares at an effective price of $14.80 per share for $14.8 billion preferred stock for a combined total of $28.3 billion in new common equity. The exchange for preferred shares will translate into reduced dividends of almost $1 billion on an annual basis. Quarterly preferred dividend payments going forward are projected to be $1.1 billion, $350 million for private preferreds, and approximately $713 million for government preferreds plus an additional $180 million of non cash amortization of the discounts related to assigned value to the warrants in the TARP deals. Remaining private preferred at the end of June total $18 billion as you can see on Slide 37, down $14.8 billion from the end of March. We gave you a good deal of detail on the package and previously filed 8-K's on the impact of the share exchanges on this quarter's earnings share count and the other applicable information that should help you in your modeling. Going forward into the second half of 2009, and along with what Ken said, we've been fighting the downturn for almost two years now but think we're seeing a slowing in credit deterioration with a peak in overall credit losses over the next few quarters. Having said that, it's difficult to call the specific quarter when credit calls start to drop substantially from the peak. However, once we hit the inflection point on losses, where we no longer have to build reserves, we should get some significant lift. With a very strong balance sheet, and a robust and conservative liquidity position, strong credit reserves and a solid position, as our six month results demonstrated, we're engaged 100% in leveraging the strengths and add to our capital. While we expect credit losses to trend higher in most of our businesses, we believe the level of our reserves and revenue generation over the next several quarters will enable us to get through the period with minimal impact on capital levels. Both Merrill Lynch and Countrywide contributed positively to earnings over the first half of the year, and the Merrill Lynch integration is on track and continues to make headway. Cost saves were approximately $800 million this quarter, or $1.2 billion for six months, so we're well on our way towards exceeding 40% of the total cost saves which you remember, were targeted at $7 billion annually, in 2009 and well ahead of our original goal. So while the next few quarters will be challenging, we saw great business momentum this quarter and believe we can continue to move Bank of America forward from both a competitive and operational standpoint. With that, let me open it up for questions and thank you for your attention.
Operator: (Operator Instructions) Your first question comes from Meredith Whitney – Meredith Whitney Advisory Group.
Meredith Whitney – Meredith Whitney Advisory Group: I have a couple of unrelated questions. My first one is related to the merchant processing business joint venture with First Data. Is Charlie Fort the private investor who is investing along with you and can you talk about or give us an idea about the capital structure that that entity may at some point take on in terms of is that a potential spinout?
Kenneth Lewis: We haven't disclosed the third party investor of side, First Data nor us. And then on the second part, what I'd tell you is we're really focused on combining the two platforms, kind of focused on serving our clients and taking advantage of that. Any subsequent actions are right now not on the horizon. That's a down the road kind of question.
Meredith Whitney – Meredith Whitney Advisory Group: My next question has to do with small businesses and unrelated by also related to the fact that your multi sellers conduit facility was down this quarter, and I just want to broader question understand that environment. Is that market in any way coming back? What's the outlook on that market and then if you could just speak more broadly to small businesses. Obviously CIT has been in the headlines. Your outlook on small businesses related to cars as well, that'd be helpful.
Kenneth Lewis: We had a couple comments in our remarks where we as a company are continuing to do business and be active in lending there. I'd say on a broader basis, and I'm going to merge slightly small business with maybe the middle market, if you went around the franchise, I think you would generally hear from a business standpoint because of the consumer pull back, continued tight management of inventory levels, working capital, suspension of CapEx, all those same types of things just on a slightly smaller scale as you go down the spectrum of the size of the company. So all of that is still there. I would probably base on that characterize it as much demand driven and action by the small businesses as it is an inability to find financing to be able to grow. Obviously there's some piece of that, but that's kind of the way we're seeing it right now.
Meredith Whitney – Meredith Whitney Advisory Group: I had asked this on last quarter's conference call as well. Some think that California real estate has bottomed. Do you still see a contraction in liquidity to sub prime and some sub prime actually looks like it's deteriorated for the industry this quarter. Could you comment on your outlook on sub prime because you do have exposure there and in the industry, and if we're seeing stabilization of losses there or what your outlook is.
Kenneth Lewis: I think California is so large that it's hard to always talk about it as one single market, but what we have seen is in the hardest hit areas, you are seeing actually some home price increases and increases in sales. But that's off a very, very low bottom.
Operator: Your next question comes from [Adam Hirtch – Jetter Advisors]
[Adam Hirtch – Jetter Advisors]: Could you give us additional insight into the credit card business and maybe how losses at the credit card business on a frequency and severity basis compared to the industry overall.
Kenneth Lewis: If you look at our credit card business, it tends to have, each competitor is different so it's hard to just kind of do it to the industry at large, but we tend to have a good bit of borrowing kind of business as opposed to just pure transacting business. As a result of that, more of our traditional revenue stream in the last few years has come from associated revenue, interest income and the other tend to revenue flows off that. In addition to that, we probably have traditionally run a little higher line size and therefore because of that, you would see slightly higher loss per account when you come through. So that's probably a way to contrast or compare to the industry. There are a number of other factors, but that one would probably be one pointed to what you were asking.
[Adam Hirtch – Jetter Advisors]: That would suggest that by pulling in lines across the business, there should be an ability to control further losses going forward.
Kenneth Lewis: Line management efforts, obviously we're all focused on controlling loss from there. I'd say that that's part of the strategy, but obviously the strength of the consumer will be overriding factor. You've actually got two variables that are going in different ways. You've got increased bankruptcies and unemployment levels going up and those are obviously drivers. And then on the other side, you've got 90 day and 30 day delinquencies going the right way. So at some point the 30 days, 90 day phenomenon will win out. But that's going to take several quarters.
Operator: Your next question comes from Matthew O'Connor – Deutsche Bank.
Matthew O'Connor – Deutsche Bank: There's some early finds that the consumer is bottoming here while at the same time maybe there's some early finds that the commercial buckets collectively are getting worse for the industry and obviously Bank of America is more tilted towards the consumer, but just think about that macro backdrop and your mix, as we think about the charge offs peaking over the next few quarters, is the outlook do you think at this point more uncertain on the consumer side or on the commercial side in terms of predicting the peak of losses?
Joe Price: I don't know that I have a good answer for you. I think on the consumer side the delinquency levels and the other factors that Ken kind of referenced has given us some insight if those are sustained into being able to predict leveling off and at some point peaking on there and you do that on a portfolio basis. For commercial, you tend to focus, and I'm talking beyond small business, you tend to focus individual credit by credit when you're looking at charge offs and so you probably have a little better ability to look forward on that and it's less macro economic trend and it's more individual credit because of the structure of the deals and things like that. So I think generally speaking, you tend to have more comfort, if you want to call it that in some of the commercial outlooks than you do on consumer. But it's more because of the type of the credit and the ability to look at the structure than the economic backdrop that you talked about which your indication would otherwise be the way to think about it.
Kenneth Lewis: You can think about if you think that the economy is beginning to bottom and you get some stabilization or some slight improvement in the economy,\ that would say that you've got to be dealing with the commercial than what we've been dealing with on the consumer side.
Matthew O'Connor – Deutsche Bank: It's just hard to tell on the commercial side whether there's a lag in terms of the economy and I think the banks in general including you did a much better job underwriting commercial than maybe in the previous cycles, but it's hard to get your arms around it if there's a lag in terms of where we see deterioration there.
Kenneth Lewis: I think there's a little bit of a lag, but you do have the economies bottoming going for you if that's the case.
Matthew O'Connor – Deutsche Bank: There's a lot of accounting proposals out there and regulatory proposals in general and who knows how it will all play out, but one thing that seems a high probability is that the credit card receivables will come on balance sheets I believe beginning next year and the reserve accounting will change. I think you've got about $85 billion to $85 billion in secured type cards and as you work on your capital planning your reserve methodology, have you accounted for that?
Joe Price: It's clearly considered. Remember that the trusts, the credit card trust came on balance sheet for regulatory accounting purposes in the first quarter. Obviously you still have to deal with the reserve impact of it and then from a GAAP standpoint in January you would anticipate that coming on. Clearly, and it wouldn't be limited not to just cards. Under the new accounting it would be a number of the off balance sheet structures, but card being the biggest one. Right now that roll on fits into our capital planning and our analysis of reserves and necessary reserves, so we're assuming that both the credit card trust, the revolving home equity and the asset based conduits come back on and some other things. Many of those like the asset based already again, carry regulatory capital and wouldn't have big reserve requirements so focus back on card. We would envision putting it on and putting reserves up to that under our current methodology.
Matthew O'Connor – Deutsche Bank: The tier one common ratio already include in the RWA, the secure attached credit card?
Joe Price: The assets, yes.
Matthew O'Connor – Deutsche Bank: And the reserving, typically I guess it's nine months of reserves?
Joe Price: It's not quite that clean, but whatever our existing policy is at the point of time would be what we would be following and we have a little more other items that stick on top of that nine, but generally directionally, you're there.
Operator: Your next question comes from Paul Miller – FBR Capital Markets.
Paul Miller – FBR Capital Markets: I think everybody's trying to predict when we peak out on these charge offs, but we've still got an unemployment rate that continues to grow I think faster than expectations. Can we see a peak in charge offs before the unemployment rate peaks or will it most likely come after the unemployment rate peaks, or the job market peaks lets say. I know the unemployment rate is kind of a wild card.
Joe Price: It's speculation from that standpoint. What I would tell is that we have seen in the early stage, again you've got to be careful because this two quarters don't make a trend. But you have seen reductions in early stage delinquencies and then some into the later stage in some like the home equity product that we talked about that has occurred at the same time that you have seen what's happened to unemployment. So I think there's so many factors working on a consumer's ability to pay. Unemployment is one. Under employment is one. All the other factors that it's hard to get comfortable that the traditional correlation really is as tight as we might have been able to predict in the past.
Kenneth Lewis: And the bankruptcy factor, that is a big deal.
Paul Miller – FBR Capital Markets: I guess the other question, I know the bankruptcy thing is convoluting the data, but the other is the care rate. Some of the feed back that I get is that the care rates are not at traditional levels either so even though we're seeing some stabilization at 30 day, is the care rates improving from a year ago or six months ago also or are they relatively the same or getting worse?
Kenneth Lewis: We'll probably have to get back to you specifically on any particular portfolio. I tell you, if you just kind of look at returns to early stage buckets or returns to other things for something like real estate product, it takes quite a few sustained on time payments to get return to accrual status, and that I would say, you're probably right. You haven't seen a lot of migration from cures back in on that product. Cards is probably a little more traditional.
Paul Miller – FBR Capital Markets: Moving on to another big macro question. You did a really good job with your pre tax pre provision numbers. I think you're reporting in your slide presentation that $14 billion range which if you go back six months ago, I think you made a comment that you thought your pre tax pre provision numbers for this combined company could be in that $45 billion to $50 billion range. I don't know if you updated that. If you did I missed it. But you're definitely ahead of that pace. Do you think that that $14 billion is sustainable over the next couple of quarters? I know that's a tough question to ask but I think that goes a long way in determining where the valuation of this thing is.
Kenneth Lewis: I think the issue is the volatility of course in your capital markets. It's a big factor that it's hard to say. I feel very comfortable with the earlier comments about the annualized pre provision number but to talk about it on a quarter to quarter basis is pretty hard.
Operator: Your next question comes from Michael Mayo – Calyon Securities.
Michael Mayo – Calyon Securities: A little bit more on the 30 to 90 day stage delinquencies. They're looking good but the outlook is still negative for the next six months. What's the severity on these lines? In other words, even if delinquencies were to stabilize, would worse severity mean higher loan losses in the future? Can you elaborate on what you mean when you talk about the seasonal impact on delinquencies? I guess you're assuming 10% unemployment where our economist here is expecting 11.5% unemployment, so what would be the impact if we got to that higher unemployment level?
Joe Price: On the severity side, it's easiest for me to think about that on the consumer real estate product, our increases that we experienced, we experienced some increases on a unit basis this quarter, but they really weren't driven by severity. Severity is actually held in reasonably well over the last six months. What we tended to see is a little bit larger loan size which kind of tells you it's a migration probably out of sub prime into a different customer over the course of the last six months so you had a bigger loan size with the same severity, gave you a little higher loss per unit. That tends to be what we've seen more of in that product type. On the seasonality, of course that's a big part of our portfolio. On the seasonality component, it doesn't necessarily hold in all products, but you generally see a slight decline in delinquencies and even charge offs in the early part of the year, let's call it the latter part of the first quarter into the second, and then kind of like a check mark it tends to trend back up a little bit. This is a little more sustained than that and it's rolled in in some cases to later stage buckets. But we are still attributing a good part of that improvement to seasonality until it holds on a sustained basis and works its way all the way through the charge offs.
Michael Mayo – Calyon Securities: What is it about the seasonal factor? What's behind that?
Kenneth Lewis: Well for instance, tax refunds.
Michael Mayo – Calyon Securities: Anything else that comes to mind?
Kenneth Lewis: You tend to get, take something like the auto business, you tend to get new models coming in. There are a number of things that happen in the industry that tend to drive it. Spring season, people want to be in their boats on the lake. There are all kinds of little behavioral things that might cause the consumer to come a little more current or more timely.
Michael Mayo – Calyon Securities: Unemployment, if it peaks at 11.5% instead of 10%, what impact would that have on your charge off expectations?
Joe Price: For an unemployment level to continue to increase, clearly it signals a broader weakness in the economy and continued weakness in consumer spending and all those things. I don't have a pinpoint answer for you. As much as it would be additional costs that we would have to absorb, probably most pertinently on the consumer side, but it would roll through, that additional weakness would roll through your commercial portfolios.
Kenneth Lewis: I don't know if it's as simple as saying 11%. I don't think it's that simple. And when we do, we have scenarios that's set at higher. I just don't have it before me.
Operator: Your next question comes from Edward Najarian – ISI Group.
Edward Najarian – ISI Group: Did you actually give the amount of the tax benefit that you outlined or do you have a dollar amount of that tax benefit?
Joe Price: No, we didn't disclose the specifics but think of it as driving the principle benefit in the first quarter.
Edward Najarian – ISI Group: So we can't get sort of an estimate of the dollar amount of that tax benefit this quarter.
Joe Price: When I get to the 10-Q and we put the details in, we'll put it in there. But think of the Merrill Lynch unrecognized capital loss carry forwards that we're basically triggered due to our change in capital gains actual and outlook as being the principal driver that released that.
Edward Najarian – ISI Group: Do you have a range of what the approximate tax rate would have been without that benefit in Q2?
Joe Price: No. Again, that's kind of the backside of asking the same question. When we get the Q out you'll see a reconciliation of the benefits that we'll lie out, but just think going forward of migrating back towards something, towards conceptually a statutory kind of rate.
Edward Najarian – ISI Group: Second question has to do with the change in the credit card rules, credit card holder bill of rights. J.P. Morgan outlined that they expected that to negatively impact revenue by about $500 million to $700 million in 2010. Do you have any kind of an estimate on how that will impact your credit card revenues?
Joe Price: It should be about the same. They're about the same size portfolios and we're obviously working on that issue because it's enough to get your attention and seeing if there are ways we can mitigate that number. But that's a decent ball park number.
Edward Najarian – ISI Group: Would you expect to be able to work around that number so that the bulk of that revenue would come back the following year based on changing product structures and things like that?
Joe Price: That's really what we're working on as we speak. Just trying to see how we can offset the negative impacts.
Edward Najarian – ISI Group: This is kind of a very long range big picture kind of question but just sitting here today and thinking about getting through this credit cycle, continuing to build capital ratio's, what are your preliminary thoughts about the process that you would go through and maybe if you can give any insight on the timing that you would think about in terms of repaying the TARP preferred equity. In other words, would it be, we'll take our time. We'll continue to build capital and try to pay as much of that back without issuing stock as possible or would it be more in the realm of we'd like to pay it back sooner rather than later and would be willing to raise capital to do so?
Kenneth Lewis: We've raised the capital and as you can see from the ratio's they're well north of any minimum of well capitalized numbers. Our desire is to pay the TARP money back sooner rather than later. We've got the capital ratios and liquidity. We don't think we'd be allowed to do it all at once and so the first thing is just conversations about when can be begin and how much. Those discussions have begun, but I can't give you a time frame other than saying we're in discussions.
Edward Najarian – ISI Group: To the extent that you would have to raise at least some equity to pay back the $45 billion, would you expect that capital to be raised as preferred or as common?
Joe Price: As Ken said, we think the capital that we've raised so far gives us clear flexibility on beginning a process here and the ultimate full repayment well be dependent a little bit on where the state of the economy. If the economy improves and our internal generation comes back strong, that would be the preferred approach to go after it.
Operator: Your next question comes from Betsy Graseck – Morgan Stanley.
Betsy Graseck – Morgan Stanley: On California, just generally speaking, there's some budget issue, the IOU issue that's going on right now. How do you think about the degree to which that impacts your portfolio? Are you doing anything from a risk management perspective differently due to that situation?
Joe Price: I don't know if it's incremental specifically to that situation. If you think about what, it's kind of where you had a lot of the increase in home prices and then the subsequent hardest drop. California was obviously one of those, so a lot of your risk management practices were kind of migrated over the course of the last year plus from that standpoint. The actual exposure, direct exposure to the State is manageable when the IOU issue was not a big as might have been predicted so it comes back to how the state of the economy in California and as Ken said, we are seeing some bottoming out in some areas in California from a consumer real estate standpoint, seeing some good signs in terms of sales increases and inventories coming down and things like that. But it is still a tough unemployment situation in the State and then you add the State budget to it, makes us stay very focused, but I wouldn't say any more focused than we were because you already had it kind of as the area that you were looking at.
Betsy Graseck – Morgan Stanley: On the reinvestment of your liquidity, your liquidity is building as you indicated. Can you give us a sense as to how you are going to be approaching reinvestment opportunities and is there an opportunity to reduce some of these negative drags on NII such that NII may have bottomed this quarter?
Joe Price: It's a tough question because as you know the dominant dimension of this company is the stable funding base and that's what we're going to protect. So as long as the outlook is still uncertain, you should expect to see us continue to protect liquidity, and that would be in the forefront of what we are doing. You couple that with where the rate structure is right now and other things, and I'll call it lack of opportunity maybe for shorter duration, good spread product, and it leaves you with probably being patient rather than trying to jump back into something.
Kenneth Lewis: Which means kind of a NII for the next few quarters at least.
Operator: Your next question comes from Jefferson Harralson – KBW.
Jefferson Harralson – KBW: I was going to follow up on an early question about the off balance assets coming back on. You talked about pre funding some reserve build for those assets coming on. Can you talk about how much reserve is sitting on the balance sheet in anticipation of the cards coming back on?
Joe Price: I didn't mean for you to interpret what I said earlier on pre funding. Under the accounting rules under GAAP, when the structures come back is when you need to put your reserves on. What I was speaking to was the risk weighted asset had already come back on for regulatory capital purposes for the credit card trust and then the way asset based conduits work, your capital is pretty consistent whether it's on or off from that standpoint. But from a reserve standpoint, we'll have to take that as an adoption of the new accounting standard impact when it actually comes on.
Jefferson Harralson – KBW: And you think that will be a reserve for the cards to be front end loaded into Q1 or are we spread out over 2010? What would that look like?
Joe Price: We'll probably have to go back and be certain here, but I think the way the final rules came out, it will be a transition adjustment or it will be a one time charge. There was talk at one time about it being spread, but that's not the way it ended up.
Jefferson Harralson – KBW: The total off balance sheet assets are coming back on in addition with the cards included. Are we talking closer to $200 billion there or $400 billion, or how close are we to figuring out what that number is?
Joe Price: Right now I would say that the card business, our revolving home equity and the conduits would make up the bulk of that and I would think of that somewhere in the range of $150 billion, of which again, card is the biggest part already in regulatory capital.
Operator: Your next question comes from Joe Morford – RBC Capital Markets.
Joe Morford – RBC Capital Markets: I was just curious if the second quarter number incorporate the results of the shared national credit exam and do you have any color on how that review went this year both for B of A and just in general.
Kenneth Lewis: As you know, we can't really talk about the specifics of the exam result, but I would tell you that everything that we experienced that we're aware of is in our results for the second quarter.
Operator: Your next question comes from Christopher Kotowski – Oppenheimer & Co.
Christopher Kotowski – Oppenheimer & Co.: Two questions, one is a bit more of a nit, and that's if you look on the consolidated P&L you see credit card fee income go down from $2.9 billion to $2.1 billion, so like a 25% decrease, but if you look through the segment reports, there's nothing that would indicate that kind of change. Can you square that circle for me?
Joe Price: The business units are on a managed basis and so the securitizations would be reflected as if we have all the loans on the income statement. But if you go to the consolidated, we obviously have to have GAAP reporting so what you're seeing is the losses on the secured type portfolio increase generally driving that discrepancy you see.
Christopher Kotowski – Oppenheimer & Co.: You mentioned at the outset sort of that reserve building would go for the next two quarters, but is it a fair characterization that you're determined to have any risk reserves building done by the end of the 2009 and that next year one should see provision and charge offs more or less tracking together?
Joe Price: You have to be a psychic to be able to predict the economy, so I couldn't do that, but what if provision build continues into 2010, we would see it lessening each quarter. So beginning next quarter and the next, we see less of a provision for reserve build, but I can't predict when it would end completely.
Operator: Your next question comes from Nancy Bush – NAB Research LLC
Nancy Bush – NAB Research LLC: Could you tell us what the ongoing new FDIC assessment will be on a quarterly basis, just roughly?
Joe Price: Can I come back to you and give you the exact amount? The special assessment of 760 is all in there so if you're thinking about that kind of run rate, if you back that out, would be at the right point, is probably the best way to think about it.
Nancy Bush – NAB Research LLC: This issue of the agreement on the back stop and whether or not there will be some price to be paid for a non existent agreement, can you tell us when you expect, or what your best expectation right now is when that issue gets resolved?
Kenneth Lewis: The first thing I would say is we've clearly been informed there's no supervisory concern with this thing dragging on and so that centers it on just how do we close it out and while I'd say we're not going to negotiate in public, I would fully expect us to reach resolution on this thing within the next 30 days.
Nancy Bush – NAB Research LLC: If indeed there is a charge or some payment that goes with that, is it likely that that would be something that would have to be expensed or is there some reserve sitting around somewhere that that might come out of?
Kenneth Lewis: We would have looked at our own view of that, but again I wouldn't go into that specifically, so we would have something, but I have no idea of what might come back at me.
Nancy Bush – NAB Research LLC: The loss rates in some of your master trusts are quite high and I'm wondering if there's anything particular about the MB&A portfolio, the old sort of legacy MB&A way of underwriting, if you're able to look back at that. Is it the underwriting issue? If you could just give us a little bit of color on those loss rates.
Joe Price: Over the course of the last several years as we expanded beyond a lot of the affinity programs which may have been a little more the center of the legacy MB&A, you've got a more of a borrower than an transactor and that obviously in this kind of downturn has led to where we are. So the trust itself, think of that as reasonable blended as compared to our total portfolio, and that's generally across the total portfolio what we experienced.
Kenneth Lewis: Thanks very much everyone.